Operator: Good day, and welcome to the Bridgeline Digital First Quarter 2023 Earnings. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce Chief Financial Officer, Thomas Windhausen. 
Thomas Windhausen: Thank you, and good afternoon, everyone. Thank you for joining us on the call today. My name is Tom Windhausen, Bridgeline's Chief Financial Officer. I'm pleased to welcome you to our fiscal 2023 first quarter conference call. On the call with us this afternoon is Ari Kahn, Bridgeline's President and CEO, who will begin the call with a discussion of our business highlights. I'll then update you on our financial results for the quarter, and we will conclude by taking questions. 
 Before I begin, I'd like to remind listeners that during the conference call today, comments that we make regarding Bridgeline that are not historical facts are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, and Section 21E of the Securities Act of 1934, and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change over time, and we expressly disclaim and assume no obligation to inform you if they do. 
 The results we report today should not be considered as an indication of future performance. Changes in economic, business, competitive, technological, regulatory and other factors, such as the impact of public health measures, could cause Bridgeline's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. 
 For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time to time by Bridgeline Digital with the Securities and Exchange Commission. Also, please note that on the call this afternoon, we will discuss some non-GAAP financial measures when commenting on the company's financial performance. They provide a reconciliation of our GAAP financials to these non-GAAP measures in our earnings release. You can obtain a copy of our earnings release by visiting our website. 
 I would now like to turn the call over to Ari Kahn, our President and CEO. Ari? 
Roger Kahn: Thank you, Tom, and good afternoon, everyone. Happy Valentine's Day. In the first quarter, we won 22 licensed sales totaling over $0.5 million in total contract value, with $0.25 million in annual recurring revenue and $0.75 million in consulting services. Our customer base continues to expand their investment in our software with 10 subscription license sales to existing customers. Search is our strongest selling product line with better than 18% organic CAGR, renewal rates in the high 90s, and search is now more than half of our subscription revenue. 
 Search sales are driven by partnerships with Optimizely, BigCommerce, [indiscernible] and other platforms as well as agencies and system integrators. We've taken a vertical approach to sales and marketing and search with especially strong results in the B2B electrical distribution center. Our recent partnership with Duda is an exciting opportunity where more than 1 million websites can now add our WooRank SEO optimization product to their site with a click of a button. Also, Duda partners with 20,000 digital agencies who can now make bulk purchases of WooRank for their customer bases. Since the last month alone since January, our partnership with Duda has sold more than 150 WooRank licenses. 
 In the first quarter, Bridgeline delivered $4.1 million in revenue, including $3.2 million of subscription and license, and another $900,000 in services. Excluding nonrecurring perpetual license sales of $100,000 in our prior year comparable period, total revenue decreased by $100,000 overall versus the first quarter of fiscal '22. This was driven by a single large customer who, while renewing for their ninth consecutive year on a legacy Bridgeline product, restructured their website, which reduced their subscription by half, from $150,000 to $75,000 per quarter. Independent of this single customer reducing their subscription, our subscription renewal rate is over 90%, with more than 125 renewing customers, including Dairy Queen, Ron Jon, and Guardian Life. 
 Our subscription and license revenue is 79% of total revenue, and our search products have grown to be more than half of our SaaS revenue. We ended our first quarter with $2.5 million in cash. During the quarter, we made the final earn-out payment of $250,000 from the HawkSearch acquisition, and now we have no remaining earn-outs due for any of our previous acquisitions. 
 Bridgeline announced that its E360 dashboard is now available in the Shopify App Store. Shopify is partnered with Bridgeline to power analytics and prescribe new revenue strategies for their 4 million users across 175 countries. Shopify users can now use the Bridgeline E360 dashboard to grow their online revenue directly within the Shopify administrative interface. 
 Bridgeline delivered several technological advances in its first quarter, including its HawkSearch rapid user interface framework. The rapid UI framework reduces the time and expense of launching new HawkSearch-powered websites. The framework not only reduces the total cost of ownership for our new HawkSearch customers, but also accelerates Bridgeline's customer acquisition sales cycle by allowing prospective customers to see how HawkSearch improves search within their site before purchasing. 
 We also expanded our natural language processing and machine learning capabilities in HawkSearch to allow industry-specific intelligence to be bundled and loaded into sites with NLP industry knowledge packs. Knowledge packs allow us to offer additional value to customers in key industries by preconfiguring their site with synonyms, stop words, unit conversion and other natural language intelligence commonly used by their specific customer base. 
 For example, a hardware store site that sells paint may need to know that cotton and dove are versions of white, and a search for either of those words should return all white-tone products. Similarly, a U.S. shoe store needs to understand that a search for sizes over 30 are European and should be converted to the U.S. side before returning the search results. Our NLP search allows you to configure this type of intelligence, and our NLP industry knowledge packs allow you to take this intelligence out of the box for key industries to increase your e-commerce conversion rate. 
 We're off to a great start for 2023 and intend to continue to make investments in our products and marketing to grow market share, especially for site search where we have enjoyed so much strong growth and customer success. 
 At this time, I'll turn the call over to our Chief Financial Officer, Tom Windhausen. Tom? 
Thomas Windhausen: Thanks, Ari. I'll provide an update of our financial results for the first quarter of fiscal 2023, which ended December 31, 2022. Our revenue for the quarter ended December 31, 2022, was $4.1 million compared to $4.3 million in the prior year period. Going into each component of revenue, our subscription and license revenue, which is comprised of SaaS licenses, maintenance and hosting revenue and perpetual license revenue for the quarter ended December 31, 2022, was $3.2 million. The prior year period included $100,000 of nonrecurring perpetual license sales, and the current year was impacted by a reduced contract from a long-time customer, as Ari mentioned. 
 As a percentage of total revenue, our subscription license revenue was 79% of total revenue for the quarter ended December 31, 2022. Services revenue of $900,000 for the quarter ended December 31, 2022, compared to $900,000 in the prior year first quarter. As a percentage of total revenue, services revenue accounted for 21% of total revenue. Our cost of revenue was consistent at $1.3 million for the quarter ended December 31, 2022, as compared to $1.3 million in the prior year period. As a result, our gross profit was $2.8 million for the quarter compared to $3 million in the prior year period. 
 Our overall gross profit margin was 69% for the quarter ended December 31, 2022, compared to 70% in the prior year period. Our subscription and license gross margins were 73% for the quarter compared to 76% in the prior year period, and our services gross margin were 51% for the quarter compared to 48% in the same period last year. Our operating expenses were $3.2 million, down $0.3 million from the prior year period. 
 Moving below operating expenses, our change in fair value of liability classified warrants resulted in a noncash income of $300,000 in the quarter compared to $2.4 million in the prior year period. Changes in share price are the primary driver of the change in the fair value of the warrants. Our net loss was $100,000 for the fiscal quarter ended December 31, 2022, compared to net income of $1.9 million in the prior year period, inclusive of those more fair value adjustments. Adjusted EBITDA for the quarter ended December 31, 2022, was $0.1 million, which was consistent with the prior year period. 
 Moving to the balance sheet. On December 31, 2022, we had cash of $2.5 million and accounts receivable of $1.6 million, and we had total assets at December 31, 2022, of $27.5 million versus total liabilities of $7.2 million. We look forward to continued growth and success in fiscal 2023 as we continue our focus on revenue growth, product innovation, customer success and shareholder value. 
 Thank you for joining us on the call today. At this time, we'd like to open up the call to questions and answers. Moderator, are you there? 
Operator: [Operator Instructions] And our first question comes from the line of Howard Halpern with Taglich Brothers. 
Howard Halpern: One question that popped up during your commentary was the 150 new WooRank licenses. So you get those licenses. And how is the process to get those customers -- upsell those customers to generate more recurring revenue? 
Roger Kahn: Okay. Great. Great. So that's through our partnership with Duda, which has 1 million websites that are powered by Duda, and we're in their app store. Individual customers can start with a light version of WooRank that starts at only $10 a month, and has good capabilities but limited capabilities, and there are upgrade options for them going up to $25 for the next level, and $50 for the level after that. So an individual customer can grow by a factor of 5 all by themselves. 
 One of the most exciting things in the Duda partnership is access to the 20,000 agencies that private label Duda to create websites for their customers. And they're very motivated to add WooRank to their own customers subscription. And this is because with WooRank, the agency themselves are able to create reports that identify where the strengths and weaknesses are of each individual site's Google core metrics, and they can then sell their own agency services to improve the site based on those reports. So they get beautiful custom-made reports that they can provide to their customers and upgrade. 
 And in that instance, similarly, we have 3 tiers for those customers as well. But in that case, we're selling in bulk to an agency who might buy 1,000 licenses at once. So this partnership is only 1 month old. It's off to an outstanding start, and we think that it's really going to make an impact on our revenues. 
Howard Halpern: Okay. Okay. That's good. And can you talk a little bit about the pipeline of customers that you had or potential customers you have? And are you seeing them want -- I know you have mostly out of the box, but you have the -- you can do consulting and customizing. Are you seeing more and more that they want that custom -- a little bit more customization than they have in the past? 
Roger Kahn: Well, we're really focused on providing as much value out of the box as we can, which is why with HawkSearch, we released the rapid UI framework, which allows customers to install HawkSearch and have it up and running all by themselves. Now you can always customize HawkSearch in a million different ways, and either our services or their own agency services can provide those customizations. But today, our professional services is only 20% of our overall revenue, it's around $3 million a year, and we expect it to kind of stay at that level with our customers buying our software, using it out of the box, and only using us for the most sophisticated customization. 
 Some of the examples of things that we do with our customers on the customization front are knowledge management, so that's where we help them analyze the search terms that their customers are using, what the search results are, and whether those are actually converting into sales and improve the natural language processing behind the scenes inside of site search. We help them improve their site with regards to ADA, American Disability Act compliance and some other items, and then leave the graphical and look and feel more to agencies that do that work. 
Howard Halpern: Okay. And are you seeing any growing traction for TruPresence? And is that pipeline growing? And is that a higher value sale, but at a longer sales cycle? 
Roger Kahn: Well, it is a longer sales cycle, and it is a higher value sale. So we did a very large sale just recently with a B2B electrical distributor, one of the largest B2B electrical distributors in America and a Forbes private company, Fortune 100 list for 750 sites. So TruPresence allows all of our software, including HawkSearch, to be able to manage franchises and chains that have a large number of websites. But because those deals are still large, and a lot of times, there are a lot of considerations of how to coordinate, in this instance, 750 site owners and profit centers and so forth, they're more political and take more time. 
 Out of all of our products, Orchestra, Unbound, WooRank, TruPresence and Celebros and HawkSearch, and I'll mention that Celebros and HawkSearch are essentially merged code bases, we still have both brands out there, but they're really -- we treat them as one line. The site search, Celebros and HawkSearch is, by far, the strongest growth product line for us either in TruPresence form or in its regular form. We had 18% CAGR in this quarter, in our first quarter with Hawk and Celebros. In Hawk and Celebros, we have very strong renewal rates. And as it grows as a larger percentage of our overall revenue, the general characteristics of our financials will start to mirror that set of growth, and it's going to be very impressive, I believe. 
Howard Halpern: Okay. And one last one is, as we always discuss, I guess what are you seeing in terms of potential acquisitions out there in terms of adding customers or adding complementary technology? And yes, so what are you seeing out there? 
Roger Kahn: Well, we're still seeing companies that are explicitly looking for acquirers. But we have seen things slow down a little bit. I think that a lot of companies that see this is just a difficult market to sell in. So they're not hiring bankers and doing outbound research as much as they were, for instance, last year, which is probably smart actually. And therefore, we're doing more outbound research on our own side to look at acquisitions and reach out to companies that we think would be good fit and it would be mutually beneficial to their shareholders and our shareholders to bring them in. 
Operator: And our next question comes from the line of Leo Carpio with Joseph Gunnar. 
Leo Carpio: I got 2 questions. The first question is, what are you seeing in terms of the industry environment? Are your customers still concerned about the economy and potential recession impact? And is that affecting the pipeline? And then the second question is, I'll do a follow-up. 
Roger Kahn: Okay. Great. Great. Well, the market overall, we have not seen a change one way or the other today versus 12 months ago in terms of the size of our pipeline, our customer acquisition costs or the length of our sales cycle. We are, therefore, expanding our investment in sales and marketing. We do think that burning cash could be a bad idea. So we don't want to be a company that is losing a significant amount of money. But at the same time, especially in the light of some companies that we consider to be competitors apparently pulling back on their efforts, we're going to push forward. We're seeing great conversion rates on our own sales. And we think that this market is going to be fine for us. And that might be because we're relatively small. So you can have a lot of big swings that's comped in, in terms of this $100 billion market that we live in, and we're swimming underwater. We don't notice the waves. 
Operator: And our next question comes from the line of [ Harvey Bibicoff ] with [ Bibicoff and McGinnis ]. 
Unknown Analyst: I just have 1 question. In your presentation, you're off to a good start to 2023. I'm looking at the numbers, and I don't understand what you're talking about. What is the good start? 
Roger Kahn: Fair enough. Fair enough. The good start is really about the 18% organic CAGR in our site search. So I did point to one thing, I didn't want to like dwell on it too much, but we do have a fairly broad product line with some products that are legacy, and they've got some long-term great customers that have been using it for a long time, but are declining in terms of the usage. 
 So we had a significant customer that was paying $150,000 in monthly recurring revenue, restructured their own website in the context of them renewing their subscription for the ninth consecutive year to $75,000 in monthly recurring revenue. So this resets our SaaS revenue to a different level. It's fine and natural. But given our own size, they're not a 5% customer, but they're very significant, puts us on that trajectory. 
 Another thing that can be a little confusing with our own revenues is that we do occasionally sell a perpetual license, and we did have some perpetual licenses this quarter. So that is a difference between a year ago. But what I'm focused on is the growth products that we have, in particular, HawkSearch, which is now more than half of our overall revenue and is growing. And it's going to take a little bit of time for it to really shine through and for everyone to see that growth. So admittedly, it's obfuscated by some of our other products, and it's taken over quickly. 
Operator: And I'm showing no further questions. So with that, I'll hand the call back over to management for any closing remarks. 
Roger Kahn: Great. Thank you for joining us today. We appreciate the continued support of our customers and our partners and our shareholders. We're excited about our business and ongoing growth prospects, and we look forward to speaking with you again on our second quarter fiscal '23 conference call in May. Thank you. Have a great day. 
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.